Operator: Ladies and gentlemen, thank you for standing by and welcome to the Silk Road Medical's 2019 Third Quarter Earnings Call. At this time, all participants’ lines are in a listen-only mode. Later, we will conduct a Q&A session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to hand the conference over to your speaker today, Ms. Lynn Lewis Investor Relations. You may begin.
Lynn Lewis: Thank you and thank you all for participating in today's call. Joining me are Erica Rogers, Chief Executive Officer; and Lucas Buchanan, Chief Financial Officer. Earlier today, Silk Road Medical released financial results for the quarter ended September 30, 2019. The copy of the press release is available on the Company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of Federal Securities Laws, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions to future events, results or performance are forward-looking statements. All forward-looking statements including, without limitation, those relating to our examination of operating trends and our future financial expectations, which includes expectations for hiring, physician training, growth in our organization and reimbursement, market opportunity guidance for revenue and gross margin and operating expenses in 2019 are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results to our events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors Section of our Form 10-Q filing with the Securities and Exchange Commission on August 13, 2019 in connection with our most recent quarterly report. This conference call contains time-sensitive information and is accurate only as of the live broadcast today October 29, 2019. Silk Road Medical disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements whether because of new information, future events or otherwise. And with that, I'll turn the call over to Erica.
Erica Rogers: Thanks, Lynn. Good afternoon, everyone and thank you for joining us for Silk Road Medical’s third quarter earnings call. Joining me is Lucas Buchanan, our Chief Financial Officer. Total revenue for the third quarter of 2019 was $17 million, up 77% year-over-year. Our team continues to deliver strong consistent revenue growth, driven by our relentless focus on outcomes, our patient-first culture and investment in clinical evidence, education and innovation are beginning to change physician behavior as we drive toward our long-term goal of becoming the standard of care in the treatment of carotid artery disease in patients at risk of stroke.  We are raising our revenue expectations for 2019 to a range of $62 million to $63 million, which represents growth of 79% to 82% over 2018 revenue. Growth and momentum continues to be driven by our focus on our 2019 priorities; one, building the clinical evidence base, and two, commercial execution.  Let’s take those in reverse order and start with commercial execution. Our overarching goal with physicians is to first build awareness and interest in TCAR based on the strength of our clinical evidence. And then from there, move them through our physician training program, support them during their initial procedures and learning curves and work towards deeper adoption through recurring procedures.  At this stage, and for the foreseeable future, our primary market opportunity is driving the conversion from carotid endarterectomy to TCAR in high surgical risk patients and we are laser-focused on that effort.  That effort starts with our flagship TEST Drive physician training courses. As a reminder, TEST stand for TCAR education and stimulation training. These courses are held at the centralized training facility in the Midwest and are led by a highly regarded faculty of key opinion leaders who are experienced TCAR practitioners allowing for valuable and credible peer-to-peer interaction.  We believe these professional education initiatives are a key factor in driving successful outcomes from the first patient of each physician’s learning curve and enable physicians to establish the confidence to more broadly integrate TCAR in their own practices. Our goal at the outset is to identify physicians who will invest the time and energy to build a TCAR program. This typically mean they are willing to take a day out of their busy practices to attend the course, have already championed the Silk Road products at their hospital value analysis committees and have identified three to four patients they think could be suitable candidates for their first procedure. The content of the course and our ensuing clinical support are designed to ensure the physicians have positive outcomes in their own hands early on.  We know that their personal experiences with their first few procedures will impact their adoption curve. Ideally, physicians will perform their first ten procedures swiftly post-training. So they can capture muscle memory and preserve the knowledge they gain in the course in their own practices.  Our experience to-date shows that after about 10 to 15 successful procedures most physicians have the confidence and comfort to accelerate their adoption of TCAR. Conducted on a regular basis, our TEST Drive courses have been oversubscribed since inception. We held our first inaugural TEST Drive at the end of 2016 in which we trained 12 physicians across ten states and hospitals.  In just two short years, that initial group of trainees grew their adoption of TCAR from zero to over half of their carotid procedure volume by the end of 2018. These pioneers are critical in conveying their personal positive experiences with TCAR’s other physicians in their hospitals, regions, and on the national stage.  As we described in the past, we have the ability to increase or decrease the number of TEST Drive courses and customize our programs for specific physician groups to meet our near and long-term business objectives.  As an example of this, based on the success of TEST Drive and the desire to expose TCAR to the next generation of physicians, we developed a specific version of the program for fellows designed to meet trainees’ needs as they first enter practice.  We hosted our first fellows program last year with approximately 50 fellows and attendants and our second, just this past quarter with over 80 fellows and a substantial waitlist. Fellows represent the future of clinical practice and we strongly believe that by providing educational and training tools specifically for them, we can establish TCAR as a primary modality early in their careers.  I’d like to share a quick story about Dr. Laurel Hastings, a vascular surgeon from Baton Rouge. Dr. Hastings attended our first fellows course in 2018. Upon completing her fellowship, she joined the practice of an already established and vibrant TCAR program and was able to hit the ground running adopting TCAR as the primary modality for treating patients with carotid artery disease.  Dr. Hastings has performed over 30 procedures since her training course and returned to our fellows program in 2019 as a faculty member to talk to new fellows about her success with TCAR. This is an important example of the power of training physicians early in their career to make sure TCAR has the opportunity to become as or more habitual than CEA.  Although many fellows will be establishing their own TCAR practices rather than joining an existing program, Dr. Hastings is representative of the next generation of forward-thinking physicians who will drive TCAR adoption over the next many years.  With all of that said, we are always mindful that we are challenging the standard of care and changing physician behavior and this takes time, experience and relentless efforts. CEA is a formidable competitor. It has been around since the 1950s and is well entrenched in today’s standard of care.  Turning to some metrics on our business. There were approximately 2250 TCAR procedures performed this quarter, both by new and experienced physicians in new and established hospital accounts and in new and established sales territories.  With just shy of 6,000 procedures through the third quarter, we are firmly on track to deliver in excess of 8,000 procedures in 2019. We remain confident that our commercial expansion plans and physician training cadence will enable us to achieve our procedure and revenue goals for the year.  As always, we are balancing our efforts between training new physicians and driving the adoption curve with our more tenured physicians.  And now shifting to our second key 2019 priorities. We are firmly rooted in the belief that physician awareness, confidence and adoption are driven by TCAR clinical evidence. Since our inaugural TEST Drive course in 2016, the safety, effectiveness and clinical advantages of TCAR has been demonstrated in multiple clinical trials, post-market studies and registries that have evaluated outcomes in more than 6,500 patients. As we discussed on the second quarter call, updated results from the TCAR Surveillance Project or TSP, as well as the final results from our ROADSTER 2 post-marketing study were presented at the Society of Vascular Surgery's Vascular Annual Meeting in June.  With data from TSP showing that TCAR had lower odds of composite in-hospital stroke, death and myocardial infarction compared to CEA, and ROADSTER 2 demonstrating sub 1% 30 day stroke risk, physicians have taken notice and are increasingly inquiring about TCAR.  The remarkable consistency and reproducibility of these data coupled with the procedure’s short learning curve and ease of use has further elevated awareness and interest among the physician community.  Last month, I attended the Western Vascular Society Annual Meeting in Maui. As the largest vascular surgery scientific meeting on the West Coast, this event attracts many physicians from a mix of teaching in community hospitals. A large number of attendees were seeing the updated results from TSP as well as final results from ROADSTER 2 for the first time.  After the data presentation, there was a groundswell of interest in registering for TEST Drive courses and learning more about TCAR. As our expanding clinical evidence is presented across national, regional and local meetings, and ultimately published and peer reviews journals, we were able – we are able to continue to drive awareness of the benefits of TCAR, prompting new physicians to get trained on TCAR and tenured physicians to convert more of their overall procedure volume to TCAR.  Building off the TCAR data on over 5,000 patients presented from the TCAR surveillance project this past year, we expect a larger body of evidence to be presented at the upcoming VEITH Symposium taking place from November 19th to November 23rd in New York City, along with several other podium presentations regarding TCAR.  With our intense focus on building best-in-class clinical evidence base and commercial execution, TCAR is finding its place prominently in the carotid treatment continuum. While we are still in the very early stages along the path toward standard of care, we look forward to continuing this journey.  With that, I will now turn the call over to Lucas Buchanan, our Chief Financial Officer and then we’ll return with closing comments.
Lucas Buchanan : Thank you, Erica. The sustainable growth that our commercial model was built to deliver continued as planned in Q3. We have a defined universe of target physicians and hospitals that we are building our efficient commercial coverage model towards with the goal of increasing adoption of TCAR to deliver reliable, durable revenue growth over time.  Now turning to our Q3 performance, revenue for the three months ended September 30, 2019 was $17.0 million, a 77% increase from $9.6 million in the same period of the prior year. Growth was driven by the growing adoption of TCAR across an expanding base of hospital accounts, trained physicians and active sales territories. Gross margin for the third quarter of 2019 was 76%, as compared to 70% in the corresponding prior year period. Gross margin improvement was driven primarily by leveraging manufacturing overhead costs, across higher revenue, also contributing to higher gross margin or the realization of manufacturing efficiencies and the timing of certain manufacturing engineering projects. Total operating expenses for the third quarter of 2019 were $20.3 million, a 77% increase from $11.4 million in the third quarter of 2018. R&D expenses for the third quarter of 2019 were $3.2 million, compared to $2.4 million in the third quarter of 2018. The increase was primarily driven by an increase in personnel-related expenses as we continue to support product development and clinical study programs. Sales, general and administrative expenses for the third quarter of 2019 were $17.1 million, compared to $9.0 million in the third quarter of 2018. The increase was primarily attributable to expenses related to growth in our commercial team and marketing efforts, as well as costs related to being a public company. Net loss for the period was $8.0 million or a loss of $0.26 per share, as compared to a net loss of $9.0 million or a loss of $8.49 per share for the same period of the prior year. We ended the third quarter of 2019 with $112.3 million of cash and cash equivalents. Turning to our capital structure, we completed a follow-on offering of 4.2 million shares in the quarter comprised entirely of secondary shares from certain selling shareholders which allowed us to diversify our stockholder base.  Turning to our outlook for 2019, and as Erica mentioned, we are raising our 2019 revenue guidance range to $62 million to $63 million, representing growth of 79% to 82% over 2018 revenue of $34.6 million. At this point, I would like to turn the call back to Erica for closing comments.
Erica Rogers : Thank you, Lucas. In summary, we are pleased with our third quarter performance and our continued ability to deliver towards our guidance. Before closing, I would like to thank our cross-functional commercial teams for their unwavering dedication, efforts and commitment to drive adoption and penetration of TCAR, while always being mindful of our focus on successful patient outcomes, every patient every day.  This team includes employees involved in education and training, customer success, sales operations, analytics and the sales and marketing organization.  To go up against the inertia of CEA every day, and change physician behavior across a well entrenched standard of care is challenging and takes a large collective efforts and unified front. This team's hard work is instrumental in our growing momentum and success and I am grateful to be working alongside them every day.  With that, we will now open it up to questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Robbie Marcus from JP Morgan. Your line is now open. 
Robert Marcus: Thanks a lot and congrats on a really great quarter here. 
Erica Rogers : Thanks Robert.
Robert Marcus: Erica or Lucas, maybe I can start off, you had a really good procedure number here. Hoping you could give us a little more color into where this is coming from? Is it new docs doing more? Is it existing docs ramping up? Just any color you can add to where you are seeing the biggest increases in traction here with the procedures?
Erica Rogers : Right, thanks Robbie. Yes, we are pleased with the case volumes for the quarter for sure. And I think it’s fair to say, as we said in quarters past, which is, the business is primarily driven, in any given quarter, by the kind of existing training physician base. We’ve talked about the period of time it takes for any newly trained physician to kind of come up their adoption curve.  And so, it’s fair to assume that a lot of those cases are done by the exiting trained physicians. That said, with a strong quarter, the way it looked here certainly there is the contribution from the newly trained physicians as well.
Robert Marcus: Great. Is there any color you could add on – in terms of what new store or existing store sales were in the quarter?
Lucas Buchanan : Well, Robbie, it depends on how you define it as a store as a physician or a hospital account and how long they’ve been open. We stare at all those trends, whether they’ve been open a quarter or a year and continue to have strong same-store sales growth and just tying it back to your first question, if it takes a new physician, nine to 12 months to get to their first ten cases, where we’ve seen adoption inflection.  That kind of by definition means lot of our businesses is being driven by physicians trained in 2018 or prior. And so, we are constantly focusing on training new docs in that effort for the long-term plan, but our business is being more and more driven as time goes by, by the tenured physicians by definition.
Robert Marcus: Great. And then, last question from me. You had a great shelling at the VAM Conference in June. The ROADSTER 2 data was really impressive. Be great to hear any commentary in terms of what you are seeing in physician attitude, trends, impact in the market that that data set and conferences had? Thanks a lot. 
Erica Rogers : Yes, you are right. We did have a strong showing in June at the Vascular Annual Meeting and as we said in the last quarter, it takes time for that information to really disseminate broadly and that’s done by our team, one physician at a time. Our area managers talking about the data with their customers. But it also happened now at these regional meetings and local meetings.  An example of that of course is the Western Vascular Society Meeting story that I told in the prepared remarks. And it was interesting to see how many physicians were seeing the data for the first time and that meeting was a couple of months after VAM. So it just gives you a sense of how long it takes for the information to disseminate.  That said, we continue to talk about it at the field level and we also believe that once the data are published in the peer review journals, that will have a greater impact and that is typically a year or so within a year of the published presentation. 
Robert Marcus: Great. Thanks. Appreciate the color. 
Erica Rogers : Thanks, Robbie. 
Operator: Your next question comes from the line of Rick Wise from Stifel. Your line is open.
Dylan Haas : Hey, guys. This is Dylan on for Rick. Thanks for taking the question. I just have one on gross margin. Gross margin in the quarter came in a little bit better than we had expected and understand that there was a benefit from maybe higher volume and you referred to some timing of the manufacturing engineering initiatives.  The last quarter you had mentioned, you expected gross margin to be flat in the second half due to some of these manufacturing engineering initiatives and I was just wondering if you could give any updated color on some of those investments and if there is an impact this quarter and how that might impact next quarter and if that we can expect a larger impact from those?
Lucas Buchanan : Sure, Dylan. Thanks for the question. Happy to provide some color. So, just at a high level, we continue to feel confident with my comments on the Q2 call, that the back half of the year, gross margin will be relatively flat to the first half. And just to put some more color around that, the Q2 gross margin was 75.2% and Q3 was 75.5%, so a modest uptick.  And to state the obvious, at $17 million in revenue, a 100 basis points with $170,000, so it doesn't take much to swing gross margins in either direction as we think about the timing of payments and the timing of some of these manufacturing engineering projects. But again, at a high level, same guidance as we provided on the prior call.
Dylan Haas : Okay, thanks. And then, just one follow-up and kind of following up on Robbie's question about strong procedure numbers. If you could provide any color on where some of these procedures are coming from in terms of, is it all converting the carotid endarterectomy procedures right now? Are you taking some of the traditional stenting procedures? Or are you seeing any market expansion?
Erica Rogers : Yes. Well, Dylan, in terms of the conversions, it is a mix of both. I mean, we're highly focused on converting carotid endarterectomy to TCAR and the reason that we are highly focused on that is the vast majority of procedures performed in the United States in 2018 were carotid endarterectomy. That said, the transfemoral CAS business continues to be a kind of low-hanging fruit opportunity for us.  Vascular surgeons that have historically done that procedure do so somewhat reluctantly knowing that the stroke risk is higher. And we are kind of – we've got a little bit of a tailwind in the fact that the most recent data that compared transfemoral CAS to TCAR in a propensity matched patient population of in-hospital outcomes, TCAR really showed a significant advantage in composite endpoint of stroke and death and stroke death in MI, but also important things like the time of fluoroscopy and the amount of contract volumes used.  So the data are even stronger and more compelling and when you compare TCAR to transfemoral CAS. So yes, we do focus on converting that business as well.  And then lastly, on your market expansion question, anecdotally, we continue to hear stories about patients who are treated with TCAR who otherwise couldn't be treated at all. But right now, as I said in the prepared remarks, right now, and really for the foreseeable future, our focus is on converting business from carotid endarterectomy primarily in high surgical risk patients, which represents two-thirds of the market opportunity.
Dylan Haas : Got it. Cool. Thanks, guys.
Erica Rogers : Thank you.
Operator: I am showing no further questions at this time. I would like to turn the call over to Erica Rogers. Thank you, ma'am.
Erica Rogers : Thank you also, very much for joining our Q3 earnings call. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating and have a wonderful day. You may all disconnect.